Operator: Greetings and welcome to Mitcham Industries' fourth quarter 2020 conference call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Ken Dennard. Thank you. Mr. Dennard, you may begin.
Ken Dennard: Thank you operator. Good morning and welcome to the Mitcham Industries' fiscal 2020 fourth quarter conference call. We appreciate all of you joining us today. Your hosts are Rob Capps, Co-Chief Executive Officer and Chief Financial Officer and Guy Malden, Co-Chief Executive Officer and Executive Vice President of marine Systems. Before I turn the call over to management, I have a few normal housekeeping details to run through. If you would like to listen to a replay of today's call, it will be available for 90 days via webcast by going to the Investor Relations section of the company's website at mitchamindustries.com or via a recorded instant replay until April 29. Information on how to access the replay was provided in yesterday's earnings release. Information reported on this call speaks only as of today, Wednesday, April 22, 2020 and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay listening or transcript reading. Before we begin, let me remind you that certain statements made by management during this call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and include known and unknown risks, uncertainties and other factors, many of which the company is unable to predict or control that may cause the company's actual future results or performance to materially differ from any future results or performance expressed or implied by those statements. These risks and uncertainties include the risk factors disclosed by the company from time-to-time in its filings with the SEC, including its Annual Reform on Form 10-K for the year ended January 31, 2020. Furthermore, as we start this call, please also refer to the statement regarding forward-looking statements incorporated in the company's press release issued yesterday and please note that contents of the conference call this morning are covered by these statements. Now I would like to turn the call over to Guy Malden. Guy?
Guy Malden: Thanks Ken and good morning everyone. We would like to thank you for joining us today for our fiscal 2020 fourth quarter and year-end conference call. Before I begin, I would like to express our support and gratitude to all of our employees, suppliers, customers and stakeholders during such a difficult time. The COVID-19 crisis has impacted all of our lives and our foremost concerns are for the health and safety of our employees and their families as well as the broader community as a whole. While we continue to adapt to the challenging conditions and operational disruptions brought on by this crisis, we have had to work closely with our customers to uphold commitments and assure a high level of service and support while also looking for ways to reduce our expenses and capital outlays due to the heightened economic uncertainty brought on by this crisis. Maintaining this balancing in the face of a pandemic, market uncertainty and volatile commodity prices has been extremely difficult but our operational flexibility and debt-free capital structure have enabled us to weather unfavorable fundamentals in the past. So as we make our way through this extraordinary situation, I would again like to draw on the strength and resilience of everyone in the Mitcham organization and express our thanks, support and deepest gratitude to all of you for your hard work and perseverance through this difficult time. Now, fiscal 2020 was a year characterized by accelerating momentum in the development of our marine technology products segment, as we made excellent progress in adding new personnel, developing new technologies and obtaining new business in the pursuit of our strategic vision to become a leading global provider of marine technology products. While there is little question that we have meaningfully reduced our dependence on traditional oil and gas activities since undertaking this transformation, we fully expect there to be additional events taking place in the near term that will further solidify our foundation in the worldwide marine technology market. Before I move on, let me briefly highlight the many actions we have taken over the past year to both reposition Mitcham and seize upon new opportunities in the marketplace. During fiscal 2020, we created new positions in business development, technology development and sales to drive the expansion of our marine offerings. Specifically, we now have a Chief Technology Officer as well as a Director for our strategic hydrographic programs, both of whom are significant additions to our staff and who will be pivotal in expanding our product line, as well as identifying and developing new opportunities. Earlier in the year, we also hired a Chief Business Development Officer and a new VP of Sales for Seamap. Most recently and as we announced yesterday, we have added an experienced Chief Operating Officer whose initial focus will be on our sonar and military business. These personnel additions will go a long way towards helping us to drive product penetration and greater awareness of our technological prowess. About a year ago, our Klein marine Systems subsidiary introduced a new and crucial line of products that has become one of the true cornerstones of our marine technology line, MA-X. Representing the next generation of side scan sonar, MA-X combines the benefits of both superior image quality and greatly enhanced efficiency, bringing a highly compelling value proposition to both military and commercial operators in the seafloor imaging market. MA-X demonstrated its effectiveness in a number of successful field trials and both commercial and military customers have expressed enthusiasm for the new technology. Initial deliveries for MA-X began in November and shortly thereafter, we received a contract award from a leading autonomous underwater vehicle manufacturer to install MA-X on one of its next generation systems. As you now know, after a fast tracked, internally funded development, we just recently made the system delivery in support of the U.S. Navy's evaluation of a next-generation underwater vehicle. Our new system called µMA-X is the first in a series of new imaging products based on Klein's MA-X technology and offers reduced size and power consumption, making it ideal for the rapidly growing autonomous underwater vehicle market. Although µMA-X is designed for both commercial and military unmanned vehicles, its ability to render high-quality imagery in an efficient and cost-effective manner makes it particularly well-suited for military applications. We are excited about having the Navy as a reference customer and the enhanced potential to gain increased product awareness and traction in the autonomous underwater vehicle market. Our Seamap subsidiary had a good year with deliveries of our BuoyLink 4DX RGPS systems and SeaLink towed streamer system exceeding our initial expectations. The BuoyLink 4DX greatly enhances the precise surface RGPS positioning capabilities for streamers and seismic sources that are necessary for 3-D and 4-D surveys. As such, it continues to gain greater awareness among operators of seismic exploration and surveys. Finally, we relocated our corporate headquarters from Huntsville, Texas to The Woodlands, Texas. This move made our offices significantly more accessible to our customers, the investment community and those living in the Houston Metropolitan area. And given our strategic shift towards marine technology as well as the need for a fresh new corporate identity to mark our new direction, the move made a great deal of sense. With that, let me now make a few observations about the fourth quarter. On a sequential basis, revenues were up 24% from the third quarter with strong contributions coming from Seamap and the equipment leasing business. The seismic leasing business saw seasonal uptick with a land project in Europe getting underway during the fourth quarter. For the marine technology products segment, Seamap drove the bulk of the increase as we delivered both the BuoyLink and SeaLink system during the quarter. There was roughly $2 million delivery that was pushed into current year due to a customer revising their requirements. Nonetheless, we have been pleased with the order flow and expect the segment to continue to perform solidly. The COVID-19 virus has certainly had a negative impact on our operations as there have been government-mandated temporary closures of our facilities in both Malaysia and Singapore, reduced productivity due to stay-at-home directives and disruptions experienced by our customers and suppliers. We have however been allowed limited access to the closed facilities to receive and make shipments and maintain equipment. And Malaysia has been reopened at a reduced staffing level as of yesterday. So despite all the near term turmoil and uncertainty, there has been no change to our longer term outlook and we remain very optimistic about the strategic direction of the company. Finally, I would like to comment on another important step we have taken to expedite our expansion in the marine technology markets, the addition of Dennis Morris as our Chief Operating Officer. Dennis has very extensive background in engineered manufacturing systems having accumulated 25 years of global experience with companies such as BAE Systems and L3Harris Technologies. His background in the design and development of complex systems and processes, as well as his wealth of experience in the maritime industry, both as a U.S. Navy submarine officer and as a corporate executive make him an ideal addition to the Mitcham team. We welcome Dennis and are proud to have him aboard. With that, let me now turn the call over to Rob.
Rob Capps: Thanks Guy. I will begin by giving a more detailed review of the financial results, then I will make some comments about our views on current market conditions. Let me start with the marine technologies products segment. Revenues for the segment totaled $8.8 million in quarter, up 30% from $6.7 million in the fourth quarter a year ago and up 9% from $8.1 million the third quarter of this year. Seamap revenues rose year-over-year to $7.1 million in the quarter from $4.9 million in the fourth quarter of fiscal 2019 and was up 25% sequentially. Seamap revenues include the deliveries of both a BuoyLink and a SeaLink system during the quarter. Now, as Guy said, we had expected an even better quarter for Seamap. However due to a customer requested modifications, we were unable to complete a $2 million order scheduled for the fourth quarter. Now, due to the impact of the COVID-19 pandemic, it is likely that this order will now be delayed until the second quarter of fiscal 2021. Fourth quarter revenues from Klein were $1.7 million and increased from $1.3 million a year ago, but down 29% sequentially. In the equipment leasing segment, revenues decreased to $4.5 million in the quarter, compared to $5.5 million in the fourth quarter a year ago. The revenue decline was limited to other equipment sales and lease pool sales as leasing revenues were up roughly 7% from a year ago. Now, we did have a sizable $1 million lease pool sale to an Asian customer that was to be completed before year-end, but due to erratic macroeconomic environment, this has been delayed. I can report however that we recently concluded a similar transaction with a North American customer indicating that the market for such transactions remains viable. On a sequential basis, the segment was up 71% driven almost entirely by seasonal gains in leasing activity. Fourth quarter gross profit for our marine technology products segment was $4.4 million, which was up from $2.2 million a year ago and up from $3.3 million in Q3 of this year. This represents a gross profit margin of 50% compared to 33% in the last year's fourth quarter and 41% in the prior quarter. The expanded margins are result of better absorption of fixed cost due to high revenues and changes in product mix. In our equipment leasing business, depreciation expense in the fourth quarter was down to $1.2 million from $1.9 million a year ago and was roughly flat sequentially. Gross profit in the segment for the fourth quarter was $1.6 million versus $1.2 million in the comparable year ago period and $738,000 in the third quarter of this year. Our general and administrative expenses were $5 million for the fourth quarter of fiscal 2020, which was flat with last year's fourth quarter and up slightly from $4.7 million in this year's third quarter. Our research and development expense was $408,000 this quarter, compared to $302,000 spent during last year's fourth quarter and $629,000 last quarter. These investments are largely due to the delivery of µMA-X. It will continue to be significant as we progress in developing our technology and initiatives in response to customer requirements. We are also continuing to pursue a number of initiatives to partner with others to expand our technology and product offerings. The unprecedented recent disruptions in the global economy in the energy markets caused us to reevaluate potential issues of collections from customers. As a result of this, we felt it prudent to make a further provision for uncollectible accounts receivable of $2 million in quarter. For many of the same reasons, we recorded an impairment of $760,000 related to certain intangible assets. Our overall operating loss for the fourth quarter this year was $2.9 million as compared to an operating loss of $2.5 million posted in the year ago quarter, but without the impact of the two fourth quarter adjustments I just mentioned, the fourth quarter operating loss would have been about $168,000. Combine these with the aforementioned previously anticipated sales, you can see that we were on track to deliver a much stronger fourth quarter. As it was, our fourth quarter adjusted EBITDA was $124,000 compared to $111,000 in last year's fourth quarter and $198,000 during Q3 of this year. Again, without the impact of the fourth quarter adjustments I just mentioned, adjusted EBITDA for the quarter was approximately $2.1 million. Mitcham's capital structure is debt-free and liquidity remains good. At the end of the quarter, we had about $22.2 million of working capital that included cash and cash equivalents of approximately $3.1 million. Our capital and cost structures are an advantage to us in this uncertain environment. The absence of looming financial obligations or restrictive covenants provides us with much flexibility. Our costs are, to a large degree, variable, which allows us to adjust relatively quickly to changes in demand and activity. Now, given all the disruption and uncertainty in the world today, it's difficult to project the impact to our business, especially in the short term. However, we are confident that we have the people, the assets and the financial strength to weather these difficult times. Now, there are a number of factors that drive our confidence and our ability to cope with these challenges. We have no debt or looming financial obligations with restricted financial covenants. We exited fiscal 2020 with more than $22 million in working capital and business activity continues. Even in this environment, we continue to interact with our customers, receiving orders and responding to inquiries, admittedly at a reduced rate, however. And we continue to collect on cash receivable from customers. As I said, our cost structure is largely variable in nature, meaning we can adjust accordingly should reduced business activity dictate and have already done so in some instances. We have access to various governmental aid programs in the U.S. and in some foreign locations. We believe there are further opportunities to redeploy capital such as by selling certain lease pool equipment. In short, our long term outlook for Mitcham's is unfazed. With that, let me turn the call back over to Guy for a few closing comments before we take questions.
Guy Malden: Thanks Rob. As I outlined earlier, we have come a long way over the last year in adding to Mitcham's capabilities. Going forward, we believe this trend will continue as we will put more resources, personnel and emphasis on building out the marine technology products segment, both domestically and abroad. There are a number of specific areas of opportunity for us in the coming months and years, including the following. Continued acceptance of our MA-X technology, application of our µMA-X technology in the growing UUV market, development of enhanced sonar capabilities opening new markets, introduction of new bathymetry subsystems for the hydrographic industry, continued acceptance of our SeaLink towed streamer system into scientific and survey capabilities, application of our streamer and acoustic technology into waterside security and passive acoustic array systems and continued penetration of our industry-leading GunLink and BuoyLink products. Because of all this, we remain confident that we are on the right path and are more optimistic than ever about Mitcham's future. Now that concludes our formal remarks. We will be happy to take any questions now.
Operator: [Operator Instructions]. Our first question is coming from Tyson Bauer of KC Capital. Please go ahead.
Tyson Bauer: Can you hear me?
Guy Malden: Yes.
Rob Capps: Yes, Tyson.
Tyson Bauer: Yes. Just doing some back of the napkin adding, you know it didn't happen, so you can't count it, but the $2 million order delay, the extra $1 million in equipment sales, if that $2 million order what the 50% margin that we saw for the composite overall for Seamap, that puts your op income on a pro forma basis, excluding your uncollectibles roughly around $1 million, give or take a little and actually produces a close to breakeven, if not a positive number down below. Now, all this is fine and dandy on playing with the numbers, but that's kind of what you were looking at, at the end of the Q3 going into this quarter. Was it not?
Rob Capps: Yes. That's exactly right.
Tyson Bauer: Okay. So going forward, now you have got $3 million in cash on the balance sheet. You just experienced a $6 million burn in 2019. You are paying $2 million on preferred dividends in the year. And in regard to that, what was the decision to pay the cash dividend a week ago when a lot of companies conserving cash?
Rob Capps: Yes. We did pay it. Just looking at our liquidity situation, we felt like we can do it. We think it's important to show that confidence to the investment community, to the holders. Obviously, that's something, if things change, we can look at that going forward. But we just felt it was a prudent thing to do.
Tyson Bauer: Okay. So in your estimation, you have got plenty of liquidity and the means to access liquidity for what? For the full year?
Rob Capps: Obviously, it's an uncertain situation, Tyson. It's something we are looking at on a day-to-day. But as I said in the comments, we have some confidence and we think we have flexibility that other people don't have. So we feel pretty good.
Tyson Bauer: Okay. You only made $1.9 million in sales of your lease pool equipment out of that, which a lot of that is fully depreciated. Was the market not there? Or was that a cognizant decision not to make greater sales from the lease pool? And you have already suggested that you are making some of those sales now. Do you anticipate getting that lease pool level down to a certain amount where you have that cash influx?
Rob Capps: Yes. It's something we always look to do and as far as last year, it's really as opportunities arise and we kind of look at what the opportunities are versus what we can do with the leasing of assets. It's a fluctuating marketplace, obviously. So it's something we look to do. But we do think there are opportunities. As I said, we completed a sale just recently of about $1 million. So we think those things are certainly still out there, although it's not something you can do everyday. You have to pick and choose and be active in the market to do it. We feel we can do that.
Tyson Bauer: Have you run numbers to see where you could get that lease pool number down to and still be an effective participate in that market?
Rob Capps: That's a really tough number to give, given depreciated assets. So I really haven't tried to look at it from that standpoint.
Tyson Bauer: Okay. You referenced U.S. Navy doing the preliminary testing and the initial, I guess not necessarily an order, but it is an order to run the test. Are we getting closer to those tests being completed and seeing a PO in hand that you will be able to announce?
Guy Malden: No. The PO is not imminent. The new system has been installed on the vehicle and now it's back, it's going to be in the Navy's hands to do their qualifying testing. That's a little bit of a target. Target dates are a little bit difficult there just because the U.S. Navy is going to control that.
Rob Capps: Plus, you know the global situation impacts that, obviously. They are impacted as well. So it's hard to dictate or indicate exactly when all that's going to be done.
Guy Malden: Yes.
Tyson Bauer: The numbers in the marine technology side is really driven still by Seamap and not Klein. Klein is basically flat, which gives us another year that we are trying to get that push forward being in the future for Mitcham. Are the expectations to get Klein going? Obviously, that's what you want to do but we are still relying on Seamap. When do we flip the switch?
Rob Capps: Well, the current situation makes it difficult to give you a date of quarter when that happens. But I think all the things we have been doing, the things we introduced last year and some of the new initiatives that we are pursuing now, we can see that the light at the end of the tunnel there. Is it two quarters out, three quarters out? It's hard to say, Tyson. But we do see the way to it most definitely.
Tyson Bauer: Okay. And last question and I will get back in queue in case there is somebody else there. As far as access to capital, you don't have a credit line. You do have the ability to sell some of your lease pool equipment to generate cash. You have the ability to cut expenses. If needed, the preferred dividends you can pick. What other sources of capital or what other avenues do you have should you need to use them this year?
Rob Capps: Well, there are some of the government aid programs that I mentioned. Excuse me. Sorry about that. There is also potentially other capital available in the market. We are looking at, we don't see the need for it right now. But we think there are potential other mechanisms out there, should a need arise.
Tyson Bauer: Okay. Thank you gentlemen.
Rob Capps: Yes.
Operator: [Operator Instructions]. Our next question is coming from Ross Taylor of ARS. Please go ahead.
Ross Taylor: Thank you gentlemen. Tyson asked most of the questions because I was most concerned with the ability to generate capital because obviously the market is pricing Mitcham shares right now as though it's going out of business and there is not much value in them. Given that you have no debt and the like, it's a little striking. But also, the Navy and the Pentagon appear to be accelerating, trying to accelerate payments to help suppliers. Is that one of the types of programs you are talking about possibly having access to?
Rob Capps: Not really.
Guy Malden: No.
Rob Capps: Not really. Our arrangement is through a prime contractor at this point. So realistically, that's not a big impact to us at this point.
Ross Taylor: So the Navy doesn't really look at you as a contractor or subcontractor. They are just looking to people you are working with?
Rob Capps: Not for that program. There are other programs where we deal directly with the Navy. But not for that program.
Ross Taylor: Okay. And then talk about basically, you kind of indicated that you are seeing this crossover out a couple of quarters, three quarters. You obviously have COVID as a wildcard. But are the pieces in place? Are you seeing the demand for things like undersea mapping? Obviously the energy space has been pretty heavily hit. But have the other segments that make use of that type of technology seeing pullbacks?
Rob Capps: Not as much. I mean a lot of our activity on the traditional seismic products, the senior products, for lack of a better term, are really non oil and gas related applications. They are survey companies or research institutes, governmental research institutes. So a lot of what we have been doing recently, a lot of the pending orders we have are non oil and gas or non exploration related. So certainly not impact to a greater degree.
Guy Malden: And going forward, we are seeing that segment of the businesses be a lot more stable than the traditional seismic on the oil and gas side. The other thing with Seamap products, we have got a tremendous install base and regardless of how the industry shrinks down, the active hulls, the active operations are still going to need parts, service and support. So there is a base there that will continue on the Seamap side.
Ross Taylor: Okay. And will you talk about the technological advantages? It strikes me, you guys have what appears to be a significant technological advantage in this space with your new technologies, your new capabilities, your side scan, gapless sonar and things of that nature. And it just strikes me, as this company is a lot more valuable than what it's trading at and I am wondering at what point do you look at it and say, if the market is not going to recognize that, you pick up the phone and call one of the bigger players, bigger systems players and the like in this space and start talks about enhancing shareholder value as the euphemisms goes? Because, it's clear shareholders don't appreciate what you guys are doing.
Guy Malden: Ross, I mean we just need to run the company and deliver results. I think a lot of the market rationale is not necessary specific to us, at least in my opinion. That's my personal opinion. You can look at all microcaps, especially any who have better than energy taint to them, they hit pretty hard. So I think there is some of that. It's just some of that hangover. So I think our focus now is to just to operate and to deliver on our results.
Ross Taylor: Okay. Well, someone knocks on your door and decides to offer you fair value, I would definitely suggest that you look at it. Because I am not quite sure how we are going to get investors to appreciate what you guys are doing. It seemed like you made a lot of progress this quarter in many ways, particularly when you back out some of the adjustments, it was a lot better than I thought it could be and obviously than the street was pricing them.
Guy Malden: Okay. Got you.
Ross Taylor: Thank you gentlemen.
Guy Malden: Okay. Thank you Ross.
Operator: Thank you. This brings us to the end of the Q&A session. I would like to turn the floor back over to management for any final comments.
Guy Malden: I would just like to thank everyone for joining us today. And I hope everyone stays safe. Take care of yourself and your families. We look forward to talking to you after our first quarter. Thank you.
Operator: Ladies and gentlemen, thank you for your participation. You may disconnect your lines at this time and have a wonderful day.